Operator: Good day, and thank you for standing by. Welcome to the AMC Networks Third Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Nick Seibert, SVP, Corporate Development and Investor Relations. Please go ahead.
Nicholas Seibert: Thank you. Good morning, and welcome to the AMC Networks third quarter 2025 earnings conference call. Joining us this morning are Kristin Dolan, Chief Executive Officer; Patrick O'Connell, Chief Financial Officer; Kim Kelleher, Chief Commercial Officer; and Dan McDermott, President of Entertainment and AMC Studios. Today's press release is available on our website at amcnetworks.com. We will begin with prepared remarks, and then we'll open the call for questions. Today's call may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to AMC Networks' SEC filings for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements made on this call today. We will discuss certain non-GAAP financial measures. The required definitions and reconciliations can be found in today's press release. And with that, I'd like to turn the call over to Kristin.
Kristin Dolan: Thanks, Nick, and thanks, everyone, for joining us this morning. We're pleased with our performance in the third quarter and our progress in several key areas. We delivered another quarter of healthy free cash flow and are on track to achieve our increased guidance of $250 million in free cash for the full year. The results we reported today mark a key milestone in our transition from a cable networks business to a global streaming and technology-focused content company. Streaming revenue growth accelerated in the quarter and offset affiliate revenue declines, resulting in stable domestic subscription revenues. As we have previously discussed, we expect streaming to be our single largest source of revenue in our domestic segment this year. This is a first for us and a meaningful inflection point as we continue to manage the business for the long term. As much larger companies spin off assets or split up to find clarity in a complicated time, we've built the components of a modern media business that is nimble, independent and well suited to today's environment and whatever comes next. We have a successful studio that produces programming and franchises that attract passionate and engaged viewers. We're home to the world's largest collection of targeted services, bringing fans of specific genres and unmatched level of curation and depth. We window our owned content across a full distribution ecosystem of domestic and international networks, streaming services, theaters and FAST channels. And we service all of this with a unified technology platform that allows us to deliver our content to viewers wherever they want to watch in a scalable way with predictable costs. A few highlights before I turn things over to Patrick. As previewed on our last call, we renewed and expanded our branded content licensing agreement with Netflix, which has been beneficial for both companies. We reserve new seasons of our most important franchises for our own platforms and get the promotional benefits of making prior seasons available to Netflix's large base of U.S. subscribers. This new agreement also expands to select international markets with a combination of first and second window rights focused on our biggest franchises like Anne Rice, Dark Winds and The Walking Dead. Turning to other key partnerships. We renewed a long-term distribution agreement with DirecTV, which expands the availability of our networks and programming across linear, FAST and streaming. Next year, DirecTV will hard bundle the ad-supported version of AMC+ in video packages that include AMC's linear network and will also add Shudder to one of their genre packages. We continue to work with Charter to raise awareness among Spectrum TV customers that ad-supported AMC+ is now included in their video package. More than 850,000 Spectrum customers have opted into AMC+ since its inclusion in the package earlier this year. We've also expanded our relationship with Cox. All 5 of our linear networks are now included in their streaming-only TV plan, Cox TV Lite. Just this week, we launched our first triple bundle with Amazon Prime Video offering AMC+, MGM+ and Starz a significant savings over stand-alone pricing. During last quarter's call, as we were finalizing our upfront negotiations, we noted a more than 25% increase in digital advertising commitments. I'm pleased to say the final figure was an increase of 40%. This is meaningful growth in an increasingly important category as our digital presence expands and advertisers see the impact of reaching viewers across all platforms that feature our popular and critically acclaimed programming. Our FAST and AVOD business continues to grow. We recently renewed our distribution with CTV leaders, Samsung and Roku and expect to launch 4 new FAST channels by the end of the year. As discussed last quarter, we are also implementing this successful strategy internationally. We currently have FAST channels in the U.K., Canada, Germany, Spain and Latin America. Globally, as of the end of September, we have 33 FAST channels distributed across 22 platforms totaling 215 active channel feeds. Combined, our portfolio of streaming services delivered an all-time high in viewership during the quarter, including the highest ever viewership of AMC+. Acorn TV, our streaming service focused on international crime dramas and mysteries, is having its best year ever. We're thrilled with the new talent, energy and momentum we're bringing to this beloved service now in its second decade and one of the world's first and most successful targeted streaming services. Irish Blood, the new series starring and executive produced by Alicia Silverstone, premiered in August and is already Acorn's #1 series ever and has been renewed for a second season. We're currently in production in Nova Scotia on a new series called You're Killing Me, starring and executive produced by Brooke Shields. We just completed another successful FearFest, one of our biggest programming events of the year, now spanning thousands of hours of programming across AMC, AMC+ and Shudder. Brand partnerships included an integrated show sponsorship with Hyundai, a Universal Studios promotion on Shudder for Black Phone 2 and multi-platform partnerships with Bacardi and Kraft Heinz, anchored by full week placements on Sphere as well as on our linear streaming and social platforms. On AMC and AMC+, we just brought fans a third series in our popular Anne Rice Immortal Universe, Anne Rice's Talamasca: The Secret Order. The first episode has already been seen by 2 million viewers across all platforms and is pacing as the most watched series premiere since The Walking Dead: The Ones Who Live. Interview with the Vampire will return next year with a new season called The Vampire Lestat focused on the popular character Lestat as the world's first truly immortal rock star. We've completed production of a new series that will premiere next spring on AMC and AMC+ called The Audacity, written and produced by Better Call Saul and Succession writer, Jonathan Glatzer. It's a provocative, timely and darkly comedic series featuring an amazing cast, including Billy Magnussen, Sarah Goldberg, Zach Galifianakis, Rob Corddry and Simon Helberg. Next year, we're planning to go into production on a new franchise, Great American Stories, the first season of which will be focused on John Steinbeck's The Grapes of Wrath. Our film group is experiencing one of the most successful years in its history with recent theatrical release, Good Boy joining this summer's Clown in a Cornfield to deliver 2 of the 3 highest grossing opening weekends we've ever had. Dangerous animals also saw solid box office results this summer. Just as important as the theatrical success is the impact these films have when they move to streaming on AMC+ and Shudder, extending the reach of our high-quality IP with minimal audience duplication. Earlier, I spoke about the strategic components of our business and our commitment to remaining fast-moving and adaptable as our industry evolves. Our achievements are only possible because of our people, and I'm extremely proud of the work we're doing and the culture we have built together. To support our employees during this dynamic period in media and to advance our company with dedication and focus, we recently offered a voluntary buyout program to most of our U.S. workforce. This program did not have specific financial targets, rather its purpose was to strengthen our talent base and ensure we have the right skills for the future. The result of this initiative is a less than 5% reduction in our total employee base. We are thankful for the contributions of those who have chosen to pursue new opportunities and of course, those who are driving this new era of the company. AMC Networks continues to differentiate itself during this changing time in media. As I said at the top of the call, when I look across our business, I see a company that has the pieces and the people necessary to succeed in this environment and to move quickly to find new and better ways to bring engaged fans to the content they love. And now I'll turn the call over to Patrick.
Patrick OConnell: Thank you, Kristin. We are pleased with our third quarter performance. And today, we are reiterating our outlook for the full year. We delivered another quarter of healthy cash flow generation with free cash flow totaling $42 million in the third quarter. We remain well positioned to achieve our 2025 outlook of approximately $250 million of free cash flow. Third quarter consolidated net revenue declined 6% year-over-year to $562 million. Favorability in foreign exchange rates resulted in an approximately 65 basis point tailwind to our consolidated revenue growth rate. Consolidated AOI declined 28% to $94 million with a 17% margin, and adjusted EPS was $0.18 per share. I'll now review our segment results. Domestic Operations revenue decreased 8% to $486 million. Subscription revenue was flat year-over-year with streaming revenue growth of 14%, partly offset by a 13% decline in affiliate revenue. Streaming revenue growth in the quarter benefited from the implementation of rate initiatives as well as year-over-year streaming subscriber growth of 2%. We ended the third quarter with 10.4 million streaming subs. We've implemented price increases across all of our streaming services this year. Retention and engagement remain healthy across our portfolio of services, and we continue to anticipate an acceleration in our streaming revenue growth rate for the fourth quarter. As Kristin highlighted earlier, streaming revenue is expected to be our largest single source of revenue this year in this segment. Moving to Advertising. For the third quarter, Domestic Operations advertising revenue decreased 17% due to linear ratings declines and lower marketplace pricing. The ad market remains challenging for everyone, but we are encouraged by our strong upfront performance, the strength of our programming and our significant advanced and digital advertising capabilities. As Kristin mentioned, we are pleased to have renewed and expanded our licensing agreement with Netflix in the third quarter. Recall that licensing revenues often vary quarter-to-quarter due to the timing of agreements and delivery schedules. For the third quarter, content licensing revenue was $59 million, reflecting the timing and availability of deliveries in the period. Demand for our high-quality content remains healthy, and we now anticipate that Domestic Operations content licensing revenue will exceed $250 million for the full year. Domestic Operations AOI was $112 million for the quarter, representing a decrease of 25%. The decrease in AOI was largely driven by continued linear revenue headwinds. Moving on to our International segment. Third quarter International revenues were $77 million. Excluding the favorable impact of foreign exchange in the current period, International revenues decreased approximately 50 basis points. Subscription revenue, excluding FX, decreased 6% due to the nonrenewal with Movistar in Spain, which occurred in the fourth quarter of 2024. Advertising revenue, excluding FX, increased 10% due to strong ad performance in the U.K. and Ireland. International AOI for the third quarter was $12 million with a 15% margin. Turning to the balance sheet. We remain focused on continuing to reduce gross debt and extend maturities. We ended the quarter with net debt of approximately $1.2 billion, a consolidated net leverage ratio of 2.8x and approximately $900 million of total liquidity. We continue to believe that our securities will offer attractive opportunities to deploy cash across the capital structure to create meaningful equity value over time. In the third quarter, we repurchased $9 million of our unsecured senior notes due 2029 at an average price of $0.84 on the dollar. Subsequent to the end of the quarter, we also paid down approximately $166 million of our Term Loan A and amended our credit facility to push the maturity of the majority of our revolver availability to late 2030. Regarding capital allocation, our philosophy remains consistent. First, we look to support the business by creating and acquiring compelling programming that resonates with our audiences while maintaining healthy levels of free cash flow generation. Second, we remain focused on reducing gross debt and extending debt maturities as evidenced by our third quarter open market repurchases and recent partial repayment and extension of our credit facility. Lastly, acquisitions and share repurchases will be opportunistic and measured. Moving to our outlook. We are reiterating our 2025 outlook today. We remain confident in our ability to drive free cash flow and are on track to deliver approximately $250 million of free cash flow in 2025. With $232 million already generated in the first 9 months of the year, we are well on our way to achieving this goal. We continue to expect consolidated revenue of approximately $2.3 billion, reflecting continued linear headwinds, partially offset by streaming and content licensing strength. And we also expect consolidated AOI in the range of $400 million to $420 million for the full year. We are proud of the meaningful progress we've made in transitioning our business. We've built all the necessary components of a nimble and opportunistic modern media business. All the while we've continued to create and curate the high-quality content that engages fans and builds valuable lasting franchises. We remain grounded in our consistent strategy of making great content, distributing that content broadly, generating meaningful free cash flow and being prudent in how we allocate our capital. With that, I'll hand the call back to Nick.
Nicholas Seibert: Thank you, Patrick. Well, operator, we'll now open the line for questions, please.
Operator: [Operator Instructions] And our first question comes from the line of Charles Wilber of Guggenheim Securities.
Charles Wilber: Just wanted to ask, I was hoping you could talk about your partnership with the Sphere and promoting FearFest. How are you thinking about similar partnerships in the future for other promotions like Best Christmas Ever or content premieres? And then on AOI, margins decreased in the quarter to kind of mid-teens range. I believe in the past, you guys have talked about long-term margins in the mid- to high 20% range. Is that still how you're thinking about margin potential over the long term? And what steps do you need to take to drive margin expansion?
Kristin Dolan: Great. Charles, it's Kristin. Thanks for the question on Sphere. As you know, we sell cross-platform all of our inventory, and we do it against specific audiences. And having the opportunity to integrate with the Exosphere capabilities in Vegas has been really attractive to a variety of advertisers, particularly those in packaged goods where we can work with Sphere Studios to create an interesting companion on the Sphere to their linear FAST and AVOD purchases with us. So Kim can you expand a little bit, I think, on who we work with and how that's come together.
Kimberly Kelleher: Sure. I'd just add, it's an incredible way to mark the campaign in a marquee global way where the Exosphere goes global on social, and it really -- it marks that kind of signature moment for the advertisers. So most recently with FearFest, we did Bacardi and Kraft Heinz with -- and to a great deal of success. And we do have partnerships in discussion for Best Christmas Ever and into other signature time frames for '26.
Patrick OConnell: Charles, on the margin question, I think what we've been -- what we've said in the past is that we're trying to do 2 things at once. We're trying to, on one hand, continue to invest heavily in premium programming and at the same time, drive significant free cash flow through the business. You have seen over the last couple of years that our free cash flow conversion has increased materially. It's quite high, over 60% in 2025. And that will continue to be the focus going forward. So I would pay particular attention to the free cash flow in the business. Obviously, in the last quarter, we actually increased the guide for the year, up from an implied $225 million to $250 million this year. And so that's really the watch where I focus on the free cash flow generation.
Operator: [Operator Instructions] Our next question comes from the line of Doug Creutz of TD Cowen.
Douglas Creutz: Just as you become less of a linear business and more of a streaming business, how does that affect your overall cost structure? Are there ways that it's going to help you? Are there ways where it's going to hinder you? Can you talk how you -- about how you expect that to continue to evolve over the next couple of years?
Patrick OConnell: Sure, Doug. I think we've got one of the most efficient models out there. When you think about how hard our programming dollars work against multiple distribution platforms, right? So when we program for AMC linear, it goes on AMC+ and the amount of incremental programming that's on AMC+ exclusively is relatively small from a dollar perspective. Certainly lots of episodes. There's a lot of Shudder content, et cetera, for subscribers there. So there's always something new with different and exclusive. But from a financial standpoint, the preponderance of our programming investment on AMC really does double duty across both linear and streaming. And then secondly, I'd point out some of the other more targeted streaming businesses where like Acorn, for example, where the unit economics from a cost structure are quite advantageous. The cost of production on those series is much, much lower than on kind of other larger streaming services, the audiences are extremely kind of tuned in and we've got good engagement churn metrics, et cetera. So we feel really good about the efficiency from a cost perspective of the way we approach the streaming business. And I would say kind of broadly across the overall business, we continue to have levers to pull. But we are primarily focused on continuing to invest in premium programming across all of these businesses. And we think we do it well and that we get it to work hard for us.
Kristin Dolan: I would just add, Doug, thanks for the question. On the operating side, we continue to remind people that our strategy is to be a wholesale streamer. And in doing that, a lot of the costs end up on the size of our distribution partners, whether it's for acquisition or for customer service or for promotion and bundling. And then the technology work that we've undertaken over the last 12 to 18 months is driving a very predictable approach, right? So digital, when you're doing streaming, we have all of our content is nicely tucked away with Comcast Technology Services and then that supported with their second location, cloud location. So we know that our content is safe, it's stored efficiently and successfully through CTS and then our distribution for streaming and for digital is on the back of that deal, which, as we always say, it's a deal that we know what it can -- what it will cost us to deliver and that is -- it is scalable for as large as we want to grow.
Operator: [Operator Instructions] Our next question comes from the line of David Joyce of Seaport Research Partners.
David Joyce: Thinking about advertising, with the components of the upfront commitments you mentioned and the 850,000 AMC+ sign-ons with Charter Spectrum, what would be the glide path do you think with this increased streaming presence to turning advertising into a growth business again, granted the advertising level because of linear is half of what it was like 8 or 9 years ago. But what can make this a growth revenue stream again?
Kimberly Kelleher: Charles (sic) [ David], it's Kim. I would point to the number Kristin shared in our successful upfront tied to the 40% growth in our digital advertising, which really aligns actually -- aligns and includes that 850,000 ad-supported Charter subscribers. We continue to kind of expand the inventory we have through our partners of AMC+. So we really continue down the road of focusing on making our inventory digitally or dynamically ad inserted, which actually allows us an opportunity to cross-sell across all our platforms, including CTV, our streaming services that are ad-supported, which we continue to add to with Shudder ad-supported coming shortly. It's just -- it's growing that overall pool, and that will align over time.
Operator: [Operator Instructions] Our next question comes from the line of Steven Cahall of Wells Fargo.
Steven Cahall: I wanted to ask about advertising as well. So you talked about the growth in the FAST channels. I was wondering if you could give us the percentage of either domestic or total advertising revenue you're now recognizing from those FAST channels just so we get the relative size as it grows. And then just on the upfront, we've heard from some peers that at least entertainment linear pricing might have been down year-on-year. So I was wondering if you could give us any color there. And then finally, you talked about streaming revenue as your biggest revenue bucket. Can you just confirm if that's subscription and advertising? And if we compare streaming subscription and advertising to linear subscription and advertising, is streaming now bigger, which I think would be a big turning point.
Patrick OConnell: Steven, it's Patrick. I'll do the third piece first, and I'll flip it over to Kim on the advertising side of the business. Our streaming revenue is streaming revenue only. There's not the digital advertising embedded in that. So that's -- you can call it kind of a clean or pure number. Obviously, we've got a number of products in the market from an ad-supported basis, but those dollars get captured in our advertising dollars, not the streaming dollars. So hopefully, that clears up.
Kimberly Kelleher: And I would just mention, as Kristin pointed out in her comments, we do have -- we have 33 FAST channels now across 22 platforms with over 250 global feeds, and that's creating a great deal of streaming digital inventory for us. We don't break that out, Steven. That's included in the overall digital inventory that we sell cross-platform. But what I would add is this is not just an advertising venture for us. We look at the FAST and AVOD marketplaces as an opportunity for us to garner interest for our programming with early seasons that actually help drive awareness and promotion and marketing towards our streaming services. So the majority of the new FAST channels we've launched recently are channels that actually sample our targeted streaming services like Acorn Mysteries or Scares by Shudder or ALLBLK Gems. These services samples the -- sample content from our streaming services and give us an opportunity to drive that kind of noncord connected audience to our streaming services directly. So we're really seeing them beyond just an advertising generator, but more of a marketing and promotional opportunity for us in streaming.
Kristin Dolan: And I would just add we have one partner right now who's trialing with us the opportunity to click through a FAST channel to purchase the corresponding TSVOD. So that's an interesting experiment for us. So it goes beyond just using FAST as a barker channel. It's actually an interactive mechanism to purchase the correlated streaming service. So we're excited about that and hoping for some positive results.
Operator: This concludes the question-and-answer session. I would like to turn it back to Nick Seibert for closing remarks.
Nicholas Seibert: Thank you, everyone, for joining us this morning. We appreciate you giving us the time and your continued interest in AMC Networks. Have a nice day.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.